Operator: Good day, everyone, and welcome to the Antero Midstream Partners LP Second Quarter 2016 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note today’s event is being recorded. At this time, I would like to turn the conference call over to Mr. Chad Green, Vice President of Finance. Sir, please go ahead.
Chad Green: Thank you. And thank you everyone for joining us on Antero Midstream's second Quarter 2016 investor conference call. We'll spend a few minutes going through the financial and operational highlights and then we'll open it up for Q&A. I would also like to direct you to the home page of our website at www.anteromidstream.com, where we have provided a separate earnings call presentation that will be reviewed during today's call. Before we start our comments, I would first like to remind you that during this call, Antero Midstream management will make forward-looking statements. Such statements are based on our current judgments regarding factors that will impact the future performance of Antero Midstream and its sponsor, Antero Resources, and are subject to a number of risks and uncertainties, many of which are beyond Antero's control. Actual outcomes and results could materially differ from what is expressed, implied, or forecast in such statements. Joining me today on the call today are Paul Rady, Chairman and CEO, of Antero Resource and Antero Midstream; Glen Warren, President and CFO of Antero Resources and President of Antero Midstream; and Mike Kennedy, CFO of Antero Midstream. I will now turn the call over to Mike.
Michael Kennedy: Thanks, Chad, and thank you, everyone for listening into the call today. In my comments I'm going to highlight our second quarter results and the stonewall option exercise. Paul will round out our comments by providing a brief update on AR's operational improvements and its Marcellus core acreage acquisition. During our comments today will commonly reference AM and AR in order to more easily make the distinction between Antero Midstream and Antero Resources.. First and foremost there was another strong quarter for Antero Midstream both operationally and financially. AM announced the second quarter distribution of $0.25 per unit a 32% increase year-over-year and 6% increase sequentially. The distribution marks our sixth consecutive distribution increase since the IPO in November of 2014. As you can see on Slide number 2, entitled top-tier distribution growth and coverage AM continues to deliver top-tier distribution growth while maintaining outstanding DCF coverage of 1.7times during the quarter. Now let’s move on to our operating results during the second quarter. As a reminder, the results in year-over-year comparisons both include contribution from the Gathering and Compression and Water Handling and Treatment segments on a combined basis after successfully closing the water dropdown transaction at the end of the third quarter of last year. As highlighted on Slide number 3 of our earnings call presentation titled high growth midstream throughput, average daily low pressure gathering volumes were 1,353 million per day in the second quarter, which represents a 40% increase from the prior year, and a 4% increase sequentially. High pressure gathering volumes were 1,253 million per day, and 5% increase over the prior year and 3% increase sequentially. Compression volumes during the quarter averaged 658 million per day, a 45% increase compared to the prior year quarter and a 9% increase sequentially. Compression capacity was 80% utilized across AM’s footprint during the quarter, which really speaks to the efficiency of capital spending at Antero Midstream. On Slide number 4, entitled AM volume throughput versus AR production. Antero Midstream continues to gather and compress an increasing percentage of Antero Resources gross gas. With AM low pressure gathering volumes representing 77% of AR’s gross gas production as compared to 74% during the first quarter. Looking ahead into 2017, we expect AR’s net production growth target of 20% to 25% to translate into throughput growth on Antero Midstream systems and excess of 25%. As AR continues to develop the rich gas portions of its Marcellus acreage, which is 100% dedicated to AM. This visible and strong volume growth along with continued growth in AM’s water business supports to top-tier distribution growth and strong DCF coverage at AM. Moving on to the water business, fresh water delivery volumes averaged a 105,000 barrels per day, and a 11% increased compared to the prior year quarter and an 8% increase sequentially. Fresh water delivery volumes were ahead of expectations as drilling efficiencies realized by AR shifted more completion activity into the second quarter. On Slide number 5, titled advance completions drive increased water volumes. During the second quarter AR completions in the Marcellus averaged approximately 41 barrels of water per foot which is 25% higher compared to 2015 and approximately 5% higher than the 39 barrels per foot designs reflected in our guidance. The trend continues to be towards utilizing more water pre-stage in order to put more sand away. So we see additional upside potential for increased water volumes and remain very excited about the future of the water business. To put some numbers around the longer-term outlook for the water business. On Slide number 6, titled sustainable water business growth. Antero Resources 2017 net production growth target of 20% to 25% equates to approximately 170 to 180 completions or an increase of 60 to 70 more completions compared to 2016 guidance. To translate completions in the total volumes, the midpoint of 175 completions would imply approximately 155,000 to 165,000 barrels per day that delivered water based on the currently guided completion design. Lastly before I summarize financial results, I want to briefly touch on this Stonewall pipeline option exercise. On Slide number 7 titled Antero Midstream exercises Stonewall option AM acquired a 15% equity interest in the Stonewall Gathering pipeline for $45 million. The Stonewall Gathering pipeline is very strategic to AR as it allows access to downstream firm sales agreements and firm transportation to favorably priced markets. For AM Stonewall is an attractive expansion into the regional pipeline business with attractive economics underpinned by minimum volume commitments and importantly tied the volume growth at AR. We expect a $45 million investments Stonewall to result in a capital to run rate EBITDA ratio of four times to five times on an annualized basis. Next I will move on to financial results, adjusted EBITDA for the second quarter was $88 million and distributable cash flow was $78 million resulting in DCF coverage of 1.7 times. While DCF coverage continues to be well above AM’s stated target, we continue to run the business utilizing excess coverage and maintain a strong balance sheet and save some dry powder for potential growth opportunities in the future. The strong financial performance during the quarter was again driven by volumetric growth in both the gathering and compression and fresh water delivery segments. The success through the first half of the year places AM well on its way to achieving the higher end of the EBITDA in DCF guidance range. Moving on to capital expenditures, during the second quarter Antero Midstream invested $48 million in gathering and compression infrastructure, $9 million in water handling infrastructure, and $33 million for the continued construction of the advanced wastewater treatment facility. The advanced wastewater treatment facility or the Antero Clearwater facility remains on track to be placed into service in late 2017. As of June 30, Antero Midstream had $9 million in cash and $760 million drawn on its $1.5 billion revolving credit facility, with a debt to LTM EBITDA ratio of 2.4 times. Additionally, AM has approximately $750 million of liquidity to fund the future organic growth opportunities. With that, I will turn it over to Paul.
Paul Rady: Thanks Mike. Today I’ll discuss AR’s Marcellus core acreage acquisition and then finish with the significant operational improvements during the quarter. As you know AR entered into an agreement to acquire 66,500 net acres in the core of the Marcellus Shale during the second quarter over 95% of which will be dedicated to Antero Midstream for gathering, compression, processing and water services. Slide number 8 entitled Antero Resources, acquisition benefits AM provides detail on the acquisition and the significant growth opportunity for AM to build infrastructure throughout the acreage position in Tyler and Wetzel County’s. This results in an increase to AM’s identified investment opportunity set by over 15% to $3.2 billion. In addition to the attractive 4 to 7 times investment to EBITDA build out multiples, AM generates through supporting AR. This expanding footprint opens the door for additional third-party midstream opportunities for both the gathering and water businesses at AM. Directing you to Page 9 entitled leadership in Marcellus high graded core, I want to highlight the pro forma position of AR's acreage position in the Marcellus. We did an extensive data driven analysis looking at over 3,000 wells and have broken out the core of the Marcellus into 3 distinct high grade areas in West Virginia and Pennsylvania. Looking at the red box on the middle of the page, Antero has a dominant position in the high graded Southern Rich area which has exhibited 2.0 Bcf per 1,000 wellhead EUR’s on advanced completions. This Slide illustrates why Antero continues to move its development into Tyler and Wetzel County’s. Pro forma for the acquisition and Antero controls approximately 53% of the undeveloped high grade Southern Rich gas area which is almost entirely dedicated to Antero Midstream. The core consolidated acreage positions in the world class Marcellus Shale play is the foundation for Antero Midstream’s abundant organic growth opportunities that generate such attractive rates of return. Now let's move on to the operational improvements at AR. On Slide number 10 entitled continuous operating improvement, AR made tremendous strides operationally during the quarter, setting another drilling record of 7,274 feet of lateral drilled in a 24-hour period. Additionally, AR has increased sand placement in completions to over 99% which is really a function of fine-tuning the sand mix and utilizing more water in completion designs. We are very encouraged with the early results of the new completion design as highlighted by the EUR improvements at the bottom of the page, which have increased 33% in the Marcellus during the second quarter to 2.0 Bcf per 1,000 foot of lateral at the wellhead as compared to 2014. Highlighted in yellow, the 2.0 Bcf per 1,000 EUR in the Marcellus is well ahead of AR's type curve of 1.7 Bcf per 1,000 which corresponds to year end reserve bookings and AM’s current guidance as it relates to throughput. Moving down to well costs in the bottom portion of the page, AR has reduced its drilling and completion costs by 33% compared to 2014 with average DNC cost per 1,000 feet of lateral averaging $1.0 million per 1,000 feet of lateral in the Utica and $0.9 million per 1,000 feet of lateral in the Marcellus. The 33% well cost improvements partially driven by efficiencies combined with a 33% increase in EUR’s drives very attractive economics and gives AR the ability to continue to grow and drive throughput growth at AM. Moving to Slide number 11 entitled AR multiyear drilling inventory, supports low risk, high return growth profile at 6,30,16 strip pricing, AR's 2016 and 2017 drilling plan focuses on core areas on the AM footprint generating rates of return ranging from 38% to 66%. In the orange bars, you can see that those returns increased to 48% to 84% after consideration for the industry-leading hedge book at AR. It is important to point out that these returns assume the 1.7 Bcf per 1,000 foot of lateral type curve and not the 2.0 Bcf per 1,000 achieved in the second quarter. We've said it before but it's not just the amount of hedging you have in place, but the levels at which you are hedged. Because of the systematic hedging program we put in place over the last five years. The hedge prices are still around 25% above the current strip even after the recent recovery in prices. Pro-forma for the acquisition I previously discussed AR as over 2,700 locations that exceed 20% rates of return executing hedges. So there's plenty of runway for future AR development, which enhances the long-term growth outlook for AM. Moving to page number 12, entitled leadership in Appalachian core drilling inventory. We have laid out the substantial inventory at AR that supports the growth and $3.2 billion of organic investment opportunities at AM. Directing you to the top half of the Page AR can continue the rapid pace of development and increasing completions through the end of the decade while reducing less than 25% of its 3P drilling inventory. Even after 20/20 and completing over a 1000 wells AR will still have over 3,300 locations in its inventory still to drill. And this location count excludes potential West Virginia and Pennsylvania Utica dry drilling inventory. The substantial inventory and long-term organic growth prospects are truly unparalleled across the midstream space and we expect to continue delivering strong results to our unit holders. In summary, we remain very excited about the prospects of Antero Midstream particularly after another strong quarter at both AR and AM and the abundance of growth opportunities going forward. With that operator, we are ready to take questions.
Operator: [Operator Instructions] Our first question today comes from Vikram Bagree from Citi. Please go ahead with your question.
Vikram Bagree: Good morning. As you mentioned in your prepared remarks AR has not abated its type curve for 2.0 Bcf per 1,000 foot. What does it mean for completions next year will AR look at hitting the targeted production levels are they look to reduce - I will spend next year. How should we think about completions in 2017?
Paul Rady: Yes, certainly we keep an eye on lots of different factors, but no I don't think it means if you're getting it, you'll be spending more on wells with higher problem loading and higher water would you increase your budget to do. No I think you’ll probably mean you're getting better results from those wells so therefore you just drill fewer wells. So I think the dollar number we have in mind but AR is around $1.3 billion give or take a few percentage points with that kind of the budget that we have – that’s our budget this year and kind of the expected budget next year. So don't see that changing due to these well results. It's nice to get greater capital efficiency certainly and you should end up and better production and better margins overall and therefore lower leverage, but time will tell is still kind of early days for AR on the higher problem loading.
Vikram Bagree: And then just as a follow-up water utilization is now up to 43 barrels per foot. Is that the new normal for water utilization going forward or should we be using 40 barrels per foot going forward?
Paul Rady: It’s probably the new normal, I think our new design is going to be 5100 pounds and 43 but as Glen said time will tell and we are still tweaking things.
Vikram Bagree: Just as my a final question operating expenses in gathering segment were down slightly although gathering volumes were up 4% this quarter. How should we think about operating expenses going forward as gathering volumes increase?
Michael Kennedy: Yes. That's been a trend throughout Antero Midstream's life continued operating expense improvement. You know, our guidance was based on our 2015 run rate we've actually been able to improve on that as we realized efficiencies throughout the operations. So I would think that will continue to trend down. But right now our guidance remains the same.
Vikram Bagree: Great. Thank you very much.
Paul Rady: Thank you.
Operator: Our next question comes from Lane French from Baird. Please go ahead with your question.
Lane French: Good morning. Your direct operating expenses in the water handling segment decreased by 15% or so from the first quarter to second quarter as revenues for the segment were just slightly down by 2%. Can you elaborate on what drove those operating cost efficiencies quarter-over-quarter? And then do you expect further operating cost efficiencies in this water segment to persist sequentially through the rest of 2016 here.
Michael Kennedy: Yes. Our original guidance around the water is around about a $0.75 to a $1 of operating expense per barrel actually in the second quarter where we achieved $0.64. So we are below our original guidance such as continued operating efficiencies continued knowledge on how to best operate the system, decrease in the amount of consultants used to operate it. So we do see that continuing going forward and just lot of operating efficiencies around the water system.
Lane French: Great, thank you.
Operator: Our next question comes from Richard Verdi from Ladenburg. Please go ahead with your question.
Richard Verdi: Hi, good morning and thank you for taking my call here. Just a few questions. So for the Stonewall Gathering pipeline there's the option to provide processing, fractionation, terminaling and storage to Antero Resources. Can you give us an update on where the company stands with possibly adding any of these services?
Paul Rady: Yes. AM does have the opportunity to build processing, fractionation down the road. It's something that we certainly think about we've done in the past. Our team has built up the processing in the Woodford Shale in Oklahoma. So it's something where we do have a capability. But we’re not sure that will go that route and operate ourself. It may be a situation where we joint venture and go non-op on some of the processing or we may not participate and all it just depends, so that's all kind of up in the air and being evaluated for future processing down the road particularly in the Marcellus.
Richard Verdi: Okay, great. And then kind of dovetailing off of that actually on the CapEx front the Marcellus spend versus the Utica spend last year I think it was approximately let’s call it 75% to 25% this year I'm seeing it more as 95% to 5%. So with half of 2016 in the rearview mirror I would assume Antero AM will have some sort of sense of what 2017 spend is going to look like. And so I'm hoping you could give me a little color on the CapEx breakdown for next year between the Marcellus versus Utica and what the drivers will be behind that…
Paul Rady: Yes. It’s going to be more like 2016, what's driving that for this year is the activity levels in the Utica have been subdued because we're currently at 600 million a day of gross production in the Utica which fills our 600 million a day of favorable FT on REX, we don't have any additional takeaway in the Utica until Rover comes on. So the capital going forward is going to be more of a function of assessing Rover's delivery date or start date and that's been able to ramp into that pipe and get favorable pricing. So that's what's driving the midstream capital spend 2015 you know we were ramping into our REX capacity, 2016 were at our REX capacity. So there's only approximately $20 million of capital spend in the Utica for this year, it should maybe take up a little bit in 2017 but will probably be more of a 2018 story as Rover comes on.
Richard Verdi: Okay, great. And just two more questions. The first one, in your slide deck I have seen this in a few of your presentations. There's a slide that lays out the value chain opportunity. You know full midstream value chain and what's in blue is AM owned assets and what's in red is the AM option opportunities. Some of these are gas processing, NGL products pipelines. I am wondering if you could give us some sort of sense of what the cadence might be Antero – of AM exploring each one of these and possibly bringing them online. Which could come on first, I guess is the best way to put it.
Paul Rady: Yes. I think that's hard to say, we've been having discussions along those lines for quite some time now with different parties and we're still evaluating, I think there's still a very good possibility or probability that we participate in processing fractionation maybe even NGL pipelines, terminal storage. I think that's while that is on the page and maybe even additional regional type of dry gas pipelines, but they tend to be pretty clucky, it's not a. processing plant by plant kind of decision, generally these are bigger more macro type deals and they take time to negotiate it and they involve multiple processing plants or fractionator for example. So it's a lumpy process and it will be lumpy in terms of announcing that kind of stuff it if does come to pass. But it's an active discussion and that continues and we're optimistic about it. What we like about that is to just provide lots of balance to the revenue stream for AM over time to diversify into different types of the facilities and to have some third-party input to those facilities as you get further downstream.
Richard Verdi: Great. That's great color. Thank you. And then just the last question for me, so listening to Hi-Crush’s call yesterday, [indiscernible] this morning, both are saying they're expecting higher northern white volume sand sales into the back half of this year, was it continuing to ramp in the 2017. Proportion of this is expected to build the Marcellus and so given AR has such a high rig count in the Marcellus. I would assume AR is probably employing more sand in each well and so can you just talk a little bit about how AM could be impacted on both the gathering side and the water side, as more sand use plays out?
Paul Rady: Yes. As we've talked about we're definitely upsizing our fracs and we've gone over the last little while from 1,000 pounds a foot to 1,500 pounds a foot is now our standard design. And we're piloting 1,750 and 2,000 pounds per foot. We are – as we use is northern white and we get it through the service companies whether Hi-Crush is a provider couldn't say, but what it will result in is more productivity per well. And so if we drilled the same number of wells which I'm not sure we will if we have higher productivity, but if we did, of course, that would be more gathering volumes and there is the commensurate proportional amount of water that we use when we do more sand, we also use more water, so that's going to affect the water business. So it will translate to AM in terms of at least those things gathering, compression, water business, trunk lines and so on. So it's a plus and we like that, you can see it in of course in the rest of industry that others are upsizing their fracs and seeing still an evolution I guess the shale revolution that in so many places people are seeing the great response by upsizing the fracs, more sand, more water.
Richard Verdi: Okay. That's great. So that’s great color on the positive impact there. Just as a follow-up, Mike just one more because of your remarks there. You had mentioned that AR is up to 1,500 pounds of sand, they added 1,000 and now they are testing 1,750 and possibly going to 2,000. So let’s say if when they were at 1,000, those water volumes flowing through. Can we then think that okay, whatever that I’m thinking about modeling moving slower. Whatever that increase in volumes was from going from 1,000 pound of sand to 1,500 the increase in water volumes, could we expect that same type of change as AR goes to 2,000 pounds of sand?
Paul Rady: That’s a good question, but our frac engineers are constantly designing and redesigning, so directionally it’s true, but we can’t say it’s linearly proportionate, so have to check the [indiscernible] on that one.
Richard Verdi: Okay. Great. I appreciate the time. Thank you for the color guys. Much appreciated.
Paul Rady: Thank you.
Operator: Our next question comes from Ethan Bellamy from Baird. Please go ahead with your question.
Ethan Bellamy: Hey, guys. Couple questions here. First, is there any reason to believe that you would not achieve the earnouts in 2019 and 2020?
Michael Kennedy: No, there's not. You can see on the balance sheet and in the income statement, we continue to accrue for that payment and accrete that on the income statement, so the projections still are that we meet – AR meets those hurdles.
Ethan Bellamy: Okay. Are there any state or local issues this fall that are on your radar as potential risks?
Paul Rady: No, there are not. This fall are you talking about as in election type?
Ethan Bellamy: Yes.
Paul Rady: Not really anticipating any changes, we're not on federal acreage so that's the first that gets impacted if it's – if there's a federal input as to new frac rules or something. All of our acreage is fee, very little state even. And it's a pretty industry friendly environment in West Virginia and Ohio, so don't see anything happening there.
Ethan Bellamy: Okay. Your DCF coverage ratio is obviously the envy of the group. Remind me please, where do you expect to normalize that ratio longer-term and is the high coverage there indicative of your belief that the equity market simply just won't pay you for a higher rate of growth on what you are achieving now.
Paul Rady: Yes. Our stated range Ethan is the 1.1 to 1.2 times obviously we've been well above that since our IPO. We are really using that more as a prudent measure and managing the balance sheet and keeping our capital available for future opportunities. So, again what we do continue to see that DCF actually being above that 1.2 times well into future, but we'll reserve that for balance sheet strength.
Ethan Bellamy: Okay. And just last one. I apologize I missed the AR call earlier but to follow up on the prior caller. Is there any upward pressure at all on service costs be it sand or anything else?
Paul Rady: We have not seen that. No we don't see the upward pressure. Still see good supply.
Ethan Bellamy: All right. Thanks much guys. Appreciate it.
Paul Rady: Thank you.
Michael Kennedy: Thanks, Ethan.
Operator: And our next question comes from Brian Brungardt from Stifel. Please go ahead with your question.
Brian Brungardt: Good morning, guys.
Paul Rady: Good morning.
Brian Brungardt: Just wanted to expand on Richard’s earlier question. I guess how should we be thinking about 2017 CapEx needs in light of the recent acquisition and meeting Antero Resources development plans. Highlighted there on Slide 15?
Paul Rady: 2017 it will be in a similar range of 2016, our pace of build out of the gathering compression in the liquids rich air in the Marcellus has been fairly consistent. So you should expect a fairly similar capital budget in 2017 and 2016.
Brian Brungardt: Gotcha. And then - for that acquired acreage should we be thinking that there's need for any header systems or is this a primarily just tying into existing infrastructure?
Paul Rady: There will be a need for some high pressure lines there ultimately. So its low pressure, high pressure as well as water infrastructure and compression. So it kind of checks all boxes.
Brian Brungardt: That’s all I had. Thanks guys.
Paul Rady: Thank you. End of Q&A
Operator: And ladies and gentlemen, at this time we've reached the end of today's question-and-answer session. I'd like to turn the conference call back over to management for any closing remarks.
Chad Green: Thank you for joining us on the call today. If you have any further questions please feel free to contact us. Thank you.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending. You may now disconnect you lines.